Operator: Greetings. And welcome to the F.N.B. Corporation First Quarter 2014 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. (Operator Instructions) As a remainder, this conference is being recorded. I’ll now turn the conference over to your host, Ms. Cindy Christopher, Manager of Investor Relations. Thank you, miss. You may now begin.
Cindy Christopher: Thank you. Good morning, everyone, and welcome to our earnings call. This conference call of F.N.B. Corporation and the reports it files with the Securities and Exchange Commission often contain forward-looking statements. Please refer to the forward-looking statement disclosure contained in our earnings release, related presentation materials and in our reports and registration statements filed with the Securities and Exchange Commission and available on our corporate website. A replay of this call will be available until May 1st, and a transcript and the webcast link will be posted to the shareholder and Investor Relation section of our corporate website. I will now turn the call over to Vince Delie, President and Chief Executive Officer.
Vince Delie: Good morning and welcome to our earnings call. Joining me today are Vince Calabrese, our Chief Financial Officer; and Gary Guerrieri, our Chief Credit Officer. I will be highlighting our operating performance and providing a strategic overview. Gary will review asset quality and Vince will provide further detail on our financial results along with an update on our expectations for the remainder of the year. Vince will then open the call for any questions. Let's begin by looking at the quarter, which include strong operating performance and a number of strategic accomplishments. I am proud of the results our team has delivered over the past several years and the first quarter is no exception. Operating net income available to common shareholders was $31 million or $0.19 per diluted share. This translates into 106 basis point return on average tangible assets and nearly a 15% return on average tangible common equity. The quarter also included a $9.5 million pre-tax gain on the sale of securities, which benefits capital and reported earnings. However, the gain is not included in our presentation of operating results. We are very pleased with our operating net income, given that there are several items that reduce results this quarter. If you recall, we completed a capital raise to improve F.N.B.’s capital structure under Basel III provisions. This is the first full quarter to reflect the impact of these actions, including the additional common shares issued and the dividend on the preferred issuance. We are also absorbing the Durbin related revenue loss as this is the third quarter since this became effective for F.N.B.. Lastly, and while less significant, as a result of state tax code revisions, our bank’s share tax increased on linked-quarter and year-over-year basis. On a combined basis, these items impacted first quarter earnings by $0.03 per share. As we communicated on last quarter’s call, the majority of these regulatory imposed items will become fully absorbed in our run rate during fiscal year 2014. Beyond that period, the positive underlying trends and growth trajectory of F.N.B. will receive greater clarity. During the first quarter, we are very pleased with our ability to neutralize the financial impact and we continue to deliver consistent strong results. Organic loan growth was solid at an annualized rate of 6%, despite a slight decline in the residential mortgage portfolio, with commercial loans growing 10% and consumer loan growth of 6%. While organic growth results in average transaction deposits and repos reflect a slight seasonal decline, we ended the quarter very strong with growth on a spot basis of nearly 11%. Organic growth in average non-interest bearing deposits continued at an annualized rate of 5% and these balances account for 20% of total deposits and repos at quarter end. Our loan to deposit ratio remains strong at 85%, providing the liquidity necessary to fund our growth. The core net interest margin was stable and asset quality remains good, as a result of consistent, high quality underwriting standards. Expense control measures have remained a focus as we have added scale and gained efficiencies through our organic and acquisition-related growth. For example, core expenses have increased 11% relative to total asset growth of over 20% on a year-over-year basis. Our efficiency ratio remains below 60% and showed slight improvement over the prior year quarter. Despite the regulatory revenue and expense pressures that are embedded in the results, our efficiency ratio levels have remained solid. In addition to our focus on generating revenue growth, we have enacted a number of significant cost saving measures, including branch consolidation over the past two year, personnel management and better management of vendor relationships. We are on a great position to further improve efficiency, as we continue to closely manage expenses and leverage the benefit of recent acquisitions. During the quarter we completed the strategic sale of all of our pooled trust preferred securities. In addition to realizing a $9.5 million net gain, removing these assets from the balance sheet strengthened the risk profile of our highly-rated investment portfolio, improved capital levels due to lower risk weighted assets and generated leverageable capital to support our future growth. The expansion in Maryland has progressed successfully. In mid-February, the Baltimore County Savings Bank acquisition was completed with the seamless conversion and all operations integrated on day one. This provides significant scale in the market and positions F.N.B. with the top 10 deposit market share in the Baltimore MSA. We would like to again welcome BCSB shareholders, clients, and employees to F.N.B.. Earlier this month, we announced the pending acquisition of OBA Financial, a six branch financial institution with $390 million in assets. This acquisition expands F.N.B. into the highly attractive I-270 corridor. This transaction is strategically sound, financially attractive and has low execution risk. It provides additional scale in the market and cost effectively leverages the leadership and infrastructure investment we have already made in Maryland. The credit mark was well at 3% given OBAF good asset quality and cost savings are projected at 40% due to our existing presence. Our move into the DC area provides additional organic growth opportunities with over 4,500 commercial businesses with revenue in excess of $1 million in Montgomery County alone. Consumer, wealth management, insurance and private banking opportunities are also abundant as the area has one of the highest median household income levels in the nation. Financially the transaction bolsters our capital level in future EPS accretion. On a pro forma basis, F.N.B.’s TCE ratio is expected to increase approximately 30 basis points and our tangible book value by 2.5%. F.N.B. will benefit from the $35 million additional capital without occurring any dilution 2015 and beyond. Combining this with the leverageable capital from the trust preferred sale, we’ve effectively added $45 million of capital which will be deployed to support future growth. This transaction is a positive event for F.N.B. and we now have a solid platform in the Maryland market. With the addition of OBA, we will have $1.4 billion in assets in Maryland, over $1 billion in deposits and 31 banking locations including original headquarters in Downtown Baltimore. We have been extremely successful building out our teams in wealth, private banking, consumer and commercial banking. This is a meaningful presence to establish in less than one year and provides the scale to compete effectively. The steady pace of our consolidation provided the opportunity to build an exceptional team of bankers with strong leadership and seamlessly deploy the F.N.B. business model and sales culture. Pricing metrics were favorable with all three transactions fairly priced at an average stated price to tangible book value of 1.4 times at announcement. These pricing metrics are arguably more cost effective than a single larger transaction. In addition, with an average credit mark of 5%, the underlying asset quality of the acquired books is solid and provides a lower risk platform to grow from. While each acquisition was small in scale relative to F.N.B., the combined effect provides us with significant potential. Our strategy has also worked in the Cleveland market. We now have 31 locations in Eastern Ohio, including the recently opened headquarters in Downtown Cleveland. We've been very effective building out the team of banking and service professionals. Like Maryland, we are fully staffed, activity is brisk and pipelines are healthy. At the end of the quarter, we completed our first Dodd-Frank stress testing submission. Over the past year, we've invested significant resources from both the talent and monetary perspective in order to develop our stress testing infrastructure. This was an enterprisewide effort and an investment that will serve us well in the future. I would like to congratulate the team on another job well done. The first quarter was a great start to the year. We continued to deliver strong operating results and successfully absorb earnings headwinds such as Durbin and the impact of Basel III related capital risk. We had a very successful integration and conversion of the BCSB franchise. In fact, the F.N.B. team was able to consolidate, convert and integrate three financial institutions over the span of 10 months. This is an amazing accomplishment and a testament to the experience and skill of our management team. F.N.B. also announced plans for the continued expansion of our footprint in attractive markets with a transaction that provides enhanced opportunities to move up market and deploy our deep product set while strengthening our capital position. Over the past six months, our capital levels have been significantly bolstered and our TCE ratio of 6.8% represents the strongest operating level since 2003. As a management team, we believe F.N.B.'s current underlying fundamentals are exceptional. And we are well positioned to deploy our growth initiatives. With that, I will turn the call over to Gary so he can share asset quality results. Gary?
Gary Guerrieri: Thank you, Vince and good morning everyone. We experienced continued favorable credit quality results in both our originated and acquired portfolios ending the first quarter of 2014 well positioned. I will first focus my commentary on the originated portfolio, which best represents our primary book of business, followed by some brief remarks on the acquired portfolio at which time I will touch on the credit impact of the recently completed BCSB acquisition. Let’s now turn to the originated book for a look at our results for the quarter. Originated NPLs and OREO ended March at 1.46% and remained nearly flat compared to year end, 1 basis point better when excluding the addition of $2.7 million in OREO from the BCSB acquisition. Delinquency further improved by 11 basis points to end the quarter at a very very good level of 1.17%, with the positive movement driven primarily by lower early-stage levels experienced in the mortgage portfolio. Net charge-offs totaled $5.6 million or 28 basis points annualized which was slightly better than our planned expectations and continues to trend in line with our performance over the last several quarters. The originated provision for loan losses at $7.9 million maintained our reserve position at 1.28%, as we continue to provide for solid loan growth results. Now if you shift your attention to our acquired portfolio, we ended the quarter with $1.6 billion of loans carried at fair value, including just over $300 million from the BCSB acquisition completed in February. As we have communicated to you in the past, we track and monitor our acquired book of loans very closely and we employed this same rigorous oversight to the BCSB transaction. At the end of the quarter, the level of delinquency in the acquired book totaled $96 million, and absent the addition of BCSB, would have been down $7 million, or 10% on a linked quarter basis. The acquired reserve realized the small benefit during the quarter, given the resolution of some problem credits as well as favorable credit trends that positively impacted the quarterly re-estimation results. In closing, we finished out the first quarter of 2014 slightly better than expected and are pleased with the position of the portfolio, as we move into the second quarter. As we continue to expand both organically and through acquisitions, we will continue to manage our growing loan book with the same balanced and consistent approach that has positioned the portfolio, as it stands today. I would now like to turn the call over to Vince Calabrese, our Chief Financial Officer for his remarks.
Vince Calabrese: Thanks, Gary. Good morning, everyone. Today, I will review highlights of our first quarter’s operating performance and provide an update on guidance for the remainder of the year. Let’s begin by looking at the quarter’s balance sheet highlights, which include continued positive organic growth trends and the benefit from adding BCSB. Average loans grew organically $144 million, or 6.2% annualized, driven by strong commercial loan growth of $125 million, or 9.8% annualized. We have now achieved consistent linked quarter organic growth in the commercial portfolio for five years and continue to see momentum build. At the end of the quarter, commercial pipelines were at record highs. The consumer banking unit has also contributed significantly to total organic loan growth over the past several years, as a result of effective sales management and market expansion. In the first quarter, organic growth in average consumer loans was $43 million, or 5.7% annualized, even with the impact of the adverse weather on top of the normal seasonally right activity. On the funding side, while decreases in average total deposits, customer repos on an organic basis reflect the timing of typical seasonally low first quarter business balances. On a spot basis, these balances were up a strong, $230 million, or 10.8% annualized. As Vince noted, we continue to see strong organic growth in average non-interest bearing deposits, which was offset by decline in time deposits and the lower business balances. The first quarter net interest margin was 3.62%, compared to 3.67% in the prior quarter, with 4 basis points of the 5 basis point narrowing due to $1.1 million lower benefit from accretable yield. In other words, the core net interest margin only narrowed 1 basis point. First quarter accretable yield adjustments on acquired loans totaled $600,000 and were within our normal range of expectations. The net interest margin on a core basis has been very stable, as you can see on slide 11 of the earnings presentation. Our ability to consistently grow loans and lower cost transaction deposits and execute diligent ALCO and pricing strategies have been key contributors to a stable and solid net interest margin in the current rate environment. Looking now at non-interest income and expenses. On a linked quarter basis, core non-interest income reflects solid growth in fee-based businesses, with trust income up 10.2% on positive organic results and insurance commission revenue up 24% due to seasonal contingent fee revenue. These increases were offset by seasonally lower service charges and very low mortgage banking results. Consistent with industry trends, we experienced soft mortgage demand in the quarter, particularly in the first two months of the quarter. As Vince mentioned, this is also our third quarter into Durbin and the year-over-year comparison for service charges reflects the quarterly loss of approximately $2.5 million, which is partially offset by overall growth in this revenue source. In March, we sold our portfolio of pooled trust preferred securities at a gross gain of $13.8 million, opportunistically capitalizing on the increased liquidity and valuations for this asset class in response to the Volcker rule late last year. We utilized the portion of the gain to sell certain lower yielding securities in order to enhance net interest income going forward. As a result, we recognized the net gain of $9.5 million for the quarter. This was a great opportunity to remove these higher risk holdings from the balance sheet and redeploy the capital into higher quality investments. Net of all actions and exclusive of the gain, we expect a neutral impact to earnings for the remainder of the year. On a core basis, non-interest expense increased $1 million or 1.2%, reflecting the initial quarter of bringing on BCSB’s operating costs, partially offset by lower OREO costs and a benefit from the realization of expense control measures that Vince discussed earlier. Our capital position at March 31st reflects the benefit of the actions taken during the fourth quarter and the pooled trust sale in the first quarter. Slide 17 of the presentation provides a view of the significance of these actions and strengthening our capital structure and levels. We are now well prepared to address the expected phase out of our trust preferreds from tier 1 under Basel III. With these instruments now representing 6% of tier 1 capital, compared to 19% pre-raise. This is particularly important considering that our pro forma asset at quarter end, when including OBA of $14.9 billion, which is right after $15 billion phase-out thresholds. While the raise impacts earnings as Vince discussed, it was a necessary step at an opportune time to further position F.N.B.'s balance sheet for sustainable growth. Our outlook for the remainder of 2014 is generally consistent with our prior guidance, as we expect to achieve solid growth in loans, deposits and revenue while closely managing expenses to net interest margin and asset quality. Specifically, we reaffirm expectations to achieve strong year-over-year organic loan growth in the mid-to high single digits and total organic deposit growth in the mid-single digits. The full-year net interest margin is expected to narrow modestly by few basis points when compared to the 2013 full year net interest margin, given the very limited movement expected in short-term rates this year. This would translate into a modest quarterly narrowing for the remainder of the year. We expect to realize solid year-over-year growth in net interest income due to the completion of several acquisitions and the benefit of strong organic loan and transaction deposit growth. The one area where we are modifying our guidance is mortgage banking revenue, due to lower application volume experienced in the first quarter, which was prevalent in the industry. Our lowered expectations would amount to around a penny less than earnings in total over the next three quarters. Fortunately, given its total contribution to fee income, this has less of an impact on F.N.B. than others. We continue to look for full year non-interest expense increases in the mid-single digits due to the addition of several acquisitions. Provision for loan losses is expected to increase over full year 2013 levels, given anticipated strong loan growth with quarterly increases expected as we progress through the year to cover this loan growth. Finally, let me remind you that we communicated expectations for the OBA acquisition to be slightly dilutive initially, neutral in 2015 and accretive thereafter. With the close targeted for late in the third quarter, fourth quarter will be impacted by approximately a penny per share due to the timing differential between the immediate share impact and the deployment of the capital. In closing, we're very pleased with our continued strong operating results. We are focused on F.N.B.'s ability to deliver sustainable, long-term results and are pleased with our positioning to achieve this for our shareholders. Now, I would like to turn the call over to the operator for your questions.
Operator: Thank you. (Operator Instructions) Our first question is coming from Bob Ramsey of FBR. Please proceed with your question.
Travis Potts - FBR: Hey. Good morning, guys. This is actually Travis Potts in for Bob.
Vince Delie: Hi, Travis.
Travis Potts - FBR: Hey. First question, last quarter on NIM guidance you sort of said, run rate for accretable yield were around $500,000 to $750,000 a quarter. It looks like it was right around net of this quarter. I was wondering going forward obviously, there is going be choppiness there, but do you feel like there's still a good run rate going forward given recent acquisitions or has that changed?
Vince Delie: No, I would say the $500,000 to $750,000 is still, that’s still a good run rate range for us and like you said, it will be lumpy depending on the estimations. But that’s kind of what I would consider the core levels still.
Travis Potts - FBR: Okay. Great. And then on the efficiency ratio, you’ve mentioned mid 50s range, is that still the target pretty much overtime?
Vince Delie: Yes.
Travis Potts - FBR: Great. Thank you, guys.
Vince Delie: Great. Thank you.
Vince Calabrese: Thanks.
Operator: Thank you. Our next question is coming from Jason O'Donnell of Merion Capital Group. Please proceed with your question.
Jason O'Donnell - Merion Capital Group: Good morning.
Vince Delie: Good morning. How are you Jason?
Jason O'Donnell - Merion Capital Group: Good. Good. I wanted to follow-up on the organic loan growth you posted this quarter, I think it was 6% annualized. That’s obviously a very good outcome given the winter we had and what we’re seeing out of a number of your counter parts in the region. Are there particular markets for you that are really driving that growth at this point and are you seeing it across the footprint?
Vince Delie: I would say that the three metro markets that we’ve expanded into have been large contributors to the success, particularly in the tail-end of last year. As we move those assets through the pipeline, they end up being booked in the first quarter. So, I would say that we had fairly robust activity across the footprint but the three metro markets led the charge. They produced the most. Pittsburg, Cleveland and Baltimore in the Annapolis market were big contributors. And then actually as we sit today, our commercial pipeline is in a record $1.9 billion, so it’s very active.
Jason O'Donnell - Merion Capital Group: Okay. That’s helpful. And then, I’ll just refresh my memory, is the guidance for, you guided for mid-to-high single digit loan growth for the year. Is that the same guidance you gave previously or has that been inched up a bit?
Vince Delie: No, that’s still the same guidance.
Jason O'Donnell - Merion Capital Group: Okay. Okay. And then just thinking about the margin little bit more, I’m wondering given the reduce interest expense tied to the trust preferred redemption you executed at the end of the first quarter, can we expect to see the margin? Should we expect to see the margin potentially increase into the second quarter and then come down from there, is that how we should be thinking about?
Vince Calabrese: No, the guidance that I provided, I’m still looking for, as I said very slight narrowing, kind of by quarter. With interest rates still where they are at the short end of the curve, obviously that has an impact. And remember the banks that we’ve acquired were trust like that we brought on in the last couple of quarter. So that’s part of the, kind of the loan mix that we have today. So, no -- I would look for the margin, like I said very slight narrowing is the guidance that I gave. So, I wouldn’t expect to see that jump up in the second quarter, unless we have some accretable yield, re-estimation, extra impact that is possible but unexpected to sit here today.
Jason O'Donnell - Merion Capital Group: Okay. Fair enough. And then one last one and I’ll hop out. (Indiscernible), your whole bank M&A strategy, given that your balance sheet here is pushing $15 million in assets inclusive of the OBA deal. Where is the asset for at this point in terms of new acquisitions that you’re willing to evaluate?
Vince Calabrese: Well, the OBA transaction was smaller than what we’d like to do. But because of the capital benefits, it was attractive to us. So, I would say, we still look at same range. It would be larger than that transaction, half a billion or greater. But as I mentioned in my prepared remarks, when you look at the three transactions that we completed in the Maryland market in aggregation, it’s a fairly, it’s a meaningful presence and when you look at the price of the tangible book, it’s fairly attractive. So we’ve been able to put those three smaller institutions together and really we’re starting to see significant benefits as though we have acquired a larger institution. So having the presence in the market, having the scale to compete is starting to play out as we anticipated in our strategy.
Vince Delie: And I would just add, we really don’t have a hard line. We’ve talked about a half a billion and up in the past. But I think that when you look at the last three, two of them have been under that in Annapolis and in OBA, both from accounting a little bit above that. I mean, the strategy of buying companies at this size, kind of folding it right into our sales culture and becoming the part of the company. I mean, it’s a lot of extra work, but it’s serving us very well, serving our shareholders well, so we’ll be opportunistic. The market share and the capital made this one work looking at for us and we’ll continue to be opportunistic.
Gary Guerrieri: From a talent perspective, we have truly replicated what we have done in Pittsburg, in Cleveland and in Baltimore. So we've gone out and we've attracted people from much larger institutions that have -- that are well connected, that have the sophistication necessary to deliver deeper product set. And we retained the people that we feel can operate effectively in that sales culture and it is really working exactly the way we anticipated. So we’re very pleased with our ability to attract people and drive our sales culture.
Jason O'Donnell - Merion Capital Group: Understood. Thanks a lot guys.
Vince Delie: Thank you.
Operator: (Operator Instructions) Our next question today is coming from Collyn Gilbert. Please proceed with your question. And you are with KBW.
Collyn Gilbert - KBW: Thanks. Good morning, guys.
Vince Delie: Good morning, Collyn.
Collyn Gilbert - KBW: I just wanted to sort of reconcile with Baltimore County contribution if I could. What did they add to NII this quarter? And then what do you expect them to add next quarter?
Vince Delie: Well, I would say, once you combined the companies Collyn, you can’t really pull out individual pieces of it. What I would say to you is that Baltimore County came in very close to what we expected it to be, which is around a couple million dollars worth net interest income for the first quarter, really very close. When you look at net interest income quarter-over-quarter, there’s really a few key drivers that you would have seen from the numbers, but you have lower accretable yield of $1.1 million. You have fewer days in the quarter, which was $1.8 million impact kind of fourth quarter to first quarter. And really overall, net interest income came in right on top of our expectation. So Baltimore County at $2 million or so in the first quarter, for half of a quarter, you can double that roughly and that would be good kind of estimation for the second quarter.
Collyn Gilbert - KBW: Okay. That helps. And then, we should also think about reversing that $1.8 million to normalize the share count into the second quarter as well. I mean, that’s not share count, sorry day count, sorry.
Vince Delie: Right, perfect.
Collyn Gilbert - KBW: Okay. And then Vince, your guidance on the NIM, does that include the effects of OBAF?
Vince Calabrese: No. It does not because OBAF is really closing so late in the year. And when you look at kind of their numbers coming in, it won’t have much of an impact on 2014. So my guidance was inclusive of everything else but without OBAF.
Collyn Gilbert - KBW: Okay.
Vince Delie: If you look at kind of their run rate net income coming in is about a $1 million on an annualized basis. So won’t have that big of an impact on the total company’s results for the quarter.
Collyn Gilbert - KBW: Got it. Right. Okay. And then just one final question, I just want to make sure, I heard you guys right. On your mid to high single-digit loan growth rate that is organic, right? So that excludes the impact of Baltimore County and OBAF?
Vince Delie: Yes. That's exactly.
Collyn Gilbert - KBW: Okay. Perfect. All right. That's all I had. Thanks.
Vince Delie: Hey. Thank you.
Operator: (Operator instructions) Thank you. Our question is coming from Brian Martin of FIG Partners. Please proceed with your question.
Brian Martin - FIG Partners: Hi guys.
Vince Delie: Hi, Brian.
Vince Calabrese: Hi, Brian.
Brian Martin - FIG Partners: Maybe one question, when you talked about the mortgage projection being a little bit less as you move forward, but the overall guidance for consumer (indiscernible) is changed? Just kind of wondering what takes place to that particular decline in mortgage as you kind of look forward, are there areas more optimistic about now than you were earlier?
Vince Delie: No. I would say that, I mean, the overall guidance, the change in mortgage banking isn’t going to change the overall guidance that we would give significantly, it obviously changes the dollars that we would receive. And we do have, as we commented in the first quarter, some of the fee businesses have been doing very well and they are contributing nicely. So, that clearly could offset a good portion of that. But, the overall guidance that I gave at -- with the single-digit reference, that doesn’t move that much.
Brian Martin - FIG Partners: Okay. All right. That's all I have. Thanks.
Operator: Thank you. Our next question is coming from Peter Winter of BMO. Please proceed with your questions.
Peter Winter - BMO: Thanks. I was just looking at the non-interest income on page 15. The two items I wanted to talk about are services charges on deposit were little bit lower than I was expecting, I mean, I understand part of it is seasonality? I am just wondering if that weather played a role or if you are seeing any change in consumer behavior? And then also securities commission were little bit lower than what I was expecting?
Vince Delie: Well, I would say, Peter that you are right on with the weather. I -- you heard mixed comment about it, but across our footprint, particularly in Maryland and Western Pennsylvania the weather was pretty severe. In fact there was one day were, if you count the BCSB branches, we had nearly 30 branches closed for one full day. So that’s -- I don’t know that’s ever happened in my career. So it was pretty severe. It seems like, at least from a pipeline perspective on the consumer side things have come back, so it started to work back in March. So from our perspective it had definitely had an impact. We keep people endorsed. They weren’t using their debit card. They weren’t conducting transaction. They weren’t engaging in borrowing activities. So it did slowed things down. In terms of the security commissions, when you look at the brokerage piece of our business, two things were happening. One was the weather. The second was we went through a conversion in the first quarter. So really the attention of the sales people was diverted to retaining clients and processing paperwork. So I know that’s seems like a simplistic answer, but its pretty labor intense and we would expect them to and it was already evident in March, things started to picked up again in that space as well.
Peter Winter - BMO: Okay. That's perfect. Thanks.
Vince Delie: Yeah. Thank you.
Vince Calabrese: Yeah. Operator, I just wanted to clarify, right, the question that Brian had asked, my comment about it not affecting my guidance on fee income is just because of broadway that we’ve discussed. But I just wanted to clarify again, we do expect the mortgage banking to reduce EPS by about a penny a share for the last three quarter. So that fall through the bottom line which doesn’t change the broad overall guidance that I gave.
Operator: Thank you. At this time, I would like to turn the floor back over to Mr. Delie for any closing comments.
Vince Delie: Well, I just like to say, I appreciate everybody calling in. There were some great questions. I feel we had a tremendous quarter. I think when you take a step back and you look at the company and how our company is positioned with revenue loan and deposit growth continuing, what’s the momentum there on all of those fronts, good asset quality, loan-to-deposit ratio of 85% which gives us plenty of liquidity to continue to grow, a solid efficiency ratio 59% coming in a little from fourth quarter which is very positive and shows that we can continue to manage expenses effectively despite the fact that we had a number of regulatory hits both from a revenue and expense prospective. We had additional capital. We added additional capital very strategically through the sale of the pooled trust preferred securities and with the recently announced acquisition of OBA. And that capital is invaluable to us to continue to perform at the level we are performing and support future growth and that growth as I have stated, we are very pleased with our ability to deploy our strategy and two additional major metro markets which truly positions this company to continue to perform at high level. And once we’ve absorbed the impact of those external factors in our run rate, looking at and reflecting back on the underlying key drivers to EPS expansion. If you look at it and just project the path forward, we should be able to perform at a very nice level and provide the shareholders with the benefits that they deserve. So we are very optimistic about it and we are very positive about where we sit today financially and really when you look at growth prospects. So that's all I really had to say and I appreciate everybody’s participation and I look forward to another good call next quarter. Thank you.
Operator: Ladies and gentlemen, thank you for your participation. This does concludes today's teleconference. You may disconnect your lines at this time and have a wonderful day.